Operator: Good morning and welcome to the TravelCenters of America Fourth Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you. Good morning, everyone. We will begin today's call with remarks from TA's Chief Executive Officer, Andy Rebholz, followed by Chief Operating Officer, Barry Richards; and Chief Financial Officer, Bill Myers. We'll also have time for questions from analysts. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and Federal Securities laws. These forward-looking statements are based on TA's present beliefs and expectations as of today, February 26, 2019. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today, other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's Web site, www.sec.gov or by referring to the Investor Relations section of TA's Web site at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. I'd like to remind you that the recording and retransmission of today's conference call is prohibited without the prior written consent of TA. During this call, we will be discussing non-GAAP financial measures, including adjusted loss from continuing operations, adjusted loss per common share from continuing operations attributable to common shareholders, EBITDA and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most comparable GAAP amounts are available in our press release. The sale of the standalone convenience store business as resulted in the management of TA’s as one reportable segment and the convenience store business as discontinued operations which you’ll see reflected in our press release 10-K and future filing documents. As a reminder in our third quarter 2018 Form 10-Q and earnings press release we provided restated quarterly statement of operations data for the fourth quarter of 2017 and the first three quarters of 2018. And with that, I'll turn the call over to you, Andy.
Andy Rebholz: Thank you, Katie. Good morning everybody and thank you for your interest in TA. The fourth quarter of 2018 and first few weeks of 2019 were a momentous time for TA, capping off a year of significant change and setting stage for greater success in the years ahead. As I prepared for this call, I reflected that on all that had transpired over the last 12 months or so, and I’m pleased to report that our team succeeded in accomplishing the things we set out to do during 2018, all of which were aimed at creating shareholder value. A year ago, we told you we were working to improve our convenience store business and would consider all alternatives if results did not reach expectations. For a number of reasons we subsequently concluded we should exit that business. In May, our board approved the strategic plan that coalesced around two primary concepts; focus on our core travel center business and reduce leverage. There are multiple elements to the strategy, but pursuant to this plan we commenced a marketing of our convenience stores business, embarked on creating a smaller format travel center concept and brand, began proactively pursuing travel center franchisee prospects, began actively engaging potential travel center acquisition targets and invested capital and human resources to grow our industry-leading truck service business, especially with respect to our off-site services like our roadside assistance, mobile maintenance and commercial tire dealer programs. I'm happy to report that the actions we took have borne the expected fruit. In December, we completed the sale of our convenience store business for net proceeds of approximately $320 million. In September, we introduced the TA Express brand by converting four of our existing sites; two of which had been larger Minit Mart convenience stores to that new brand. During 2018, we grew our nonfuel revenue from continuing operations by 4.5% over 2017. Truck service revenues grew by 4.5% with significant growth in our RoadSquad, OnSite and commercial tire business lines. Our 2018 site level gross margin in excess of site level operating expenses for continuing operations improved by 10.6% over 2017, our 2018 loss from continuing operations before income taxes improved by 92.8% from 2017, our adjusted EBITDA for 2018 increased by 11.8%. In January, we completed a series of transactions with Hospitality Properties Trust through which we’ve reduced our annual minimum rent by $43 million, acquired ownership of 20 previously leased travel centers for $308 million and reduced our deferred rent obligation from $150 million to $70.5 million, all-in-all an excellent use of the proceeds from the convenience store sale. Thus far in 2019, we entered agreements with the regional travel center operator to franchise a planned six travel centers under our TA Express brand. In summary, we did what we set out to do and what we said we would do. I'm very proud of what our employees have accomplished thus far under the leadership of our new management team and I’m pleased with our financial results for both fourth quarter and full year of 2018. So what's next? Our plan is going forward, our aimed at increasing shareholder value through consistently improving our financial results and condition, continuing to present a superior customer service model to our traditional and nontraditional customers and expanding our customer base with our focus remaining our core travel center business. I would summarize our plans as follows. First, we will expand our travel center network. Over the last several years while we were devoting time to growing and upgrading the standalone convenience store network, our larger competitors were growing their travel center footprints. We want to provide a larger number of stopping points for customers this year. We expect to accomplish this through a combination of acquiring franchising and/or building new sites and we can do this utilizing our TA Petro and TA Express travel center brands. Our goal is to add 20 sites to our network in 2019 and I expect that will be accomplished primarily through franchising. Second, we will continue to grow our nonfuel business. I anticipate most of the growth to come from our truck service business, but we also have plans in place for growth in our restaurants and our store and retail services business. By ramping existing customers and adding new ones to our RoadSquad, RoadSquad, OnSite and TA Commercial Tire Network programs we can satisfy the increasing demand for services provided off-site. Third, we will continue to improve the customer service we deliver and the marketing programs we employ. Our primary customers are trucking fleets and professional truck drivers, and we provide these customers with a more comprehensive menu of products and services than other large truckstop providers operating along the interstate highway system. Because drivers might be on the road for up to weeks at a time we have modeled our travel centers to provide drivers much more than just fuel, with the greatest choice and nonfuel products services and customer service meant to improve their efficiency, productivity, satisfaction and respect while on the road away from home. One of our more significant initiatives in this regard is with respect to our driver loyalty program. In January, we unveiled an improved UltraONE loyalty program to reward professional drivers for their business in loyalty in redefined ways. The volume-based incentive program awards are most loyal customers with the greatest amount of points and with the greatest flexibility in redemption choices. Barry, will take you through the details in a moment, but early results have been very positive. Fourth, we will remain cost-conscious. As Bill described further, we’re nearing the end of our project to centralize certain accounting functions at a significant cost savings. Throughout 2018, we also implemented a new IT application to help reduce costs in our restaurants that will have a larger effect in 2019, while we don't have projects of similar significance underway for this year, we have a number of initiatives for automating or changing processes in order to improve efficiency and reduce cost. Further, we are focused on reducing our capital expenditures in 2019 as compared to what they have been in prior years and to sell fewer site improvements to HPT than in past years, in order to minimize the related rent increases. To summarize, this year we will provide more locations and within each location a more relevant array of products, services and customer service for drivers and their trucks, which we believe is key to delighting our customers. Combination of these activities this year should result in a much improved net income and adjusted EBITDA in 2019 than in 2018, before taking into account the effect of our recently agreed rent reduction. With that, I'll turn the call over to Barry for his comments.
Barry Richards: Thanks Andy and good morning everyone. I’ll review a few fourth quarter operational highlights and then discuss a few of the more important things I'm working on this year. We continue to see positive signs from our travel center operations in the fourth quarter. Our 2018 fourth quarter fuel sales volume increased by 3.9 million gallons or eight-tens [ph] of a percent over the prior year and we sold 7.8 million more diesel gallons than we did during the same period last year. This was more than double the 3.3 million gallon diesel volume increase we experienced during the first three quarters of 2018. We believe the improvement in fuel efficiency of heavy trucks and cars continue to be a headwind for our fuel business as is industry competition, but the strong freight environment, and we believe our marketing efforts helped us deal with these headwinds. For our 228 same site travel centers, total fuel volume in the 2018 fourth quarter was down slightly by one-tenth of a percent. However, this nearly flat – same site growth trend is a sign we’re able to make up for some of the headwinds by selling more fuel amid a stronger market. Same site fuel gross margin increased by $17.7 million or by 26.2%, mostly as a result of an increase in gross margin per gallon. The approximately $0.4 gross margin per gallon improvement was primarily due to a more favorable purchasing environment, but largely resulted from the sharp and sustained decline in fuel prices during the quarter and our teams appropriate response thereto. Same site nonfuel revenues increased by 2.7%, we saw revenue growth in all three departments; truck service, restaurants and stores and retail services. In the truck service area, tire unit sales were up nearly 5% versus same quarter last year. RoadSquad work orders increased by 8.2% and our mobile maintenance work orders were up a hefty 90%. We have continue to successfully market our truck maintenance and repair services to what we refer to is nontraditional customers, customers who are not long-haul trucking companies, and we expect to see a significant revenue increase from them in 2019. For our store and retail services department, the 4.9% same site revenue increase over the prior year fourth quarter was driven in large part by increased parking and diesel exhaust fluid demand, but sales levels were up in most categories. In our restaurants, revenues on the same site basis grew by just under 1% over the prior year fourth quarter despite revenues loss due to the closing restaurants with the construction projects whey they optimized our hours of operation. The conversions of a number of our proprietary brand sitdown restaurants to QSRs or other brands helped drive this increase. One soft spot in our results which we’d anticipated, was our ratio of site level operating expense to nonfuel revenues, on a same site basis this ratio increased 190 basis points to 51.6%. In the fourth quarter, we invested in increasing our technician staff to accommodate growing demand from off-site truck service relationships then incurred heavier travel, maintenance and property tax expense than in a prior year. We remain focused on our labor expense and a continual need to adjust as necessary to retain and attract talent in a low unemployment and increasingly costly regulatory environment. We regularly benchmark wages and benefits and adjust when appropriate. Despite the increased pressure on wages and benefits I’ve just described, we’re managing labor expense for our nonfuel revenue ratio targets. For the full year 2018, our labor as a percentage of nonfuel sales decreased by 20 basis points versus 2017. Looking ahead, expanding TA’s footprint is one of the areas in which I'm primarily focused. Earlier this month we signed agreements under which we expect to add six franchise travel centers to our network. Four of these locations are already in operation in North and South Dakota and are expected to be rebranded TA Express within 12 months with the first site expected to be converted by the end of April. We’re also plans for two new build locations over the next several years as part of the agreement. Our pipeline and franchise and inquiries is robust. We are in serious in late stage discussions and negotiations with a number of our operators regarding the possible franchising with additional five travel centers and have dozens of other sites in various stages of our franchising process. We think independent travel center operators appreciate the brand strength associated with TA or a Petro location, as well as a trucking fleet fueling agreements they can leverage for increased sales volume. We’re also exploring opportunities for opening standalone truck repair facilities and managing truck repair facilities for franchisees or other independent operators. We also continue to seek out acquisition opportunities, and while there is nothing yet far enough along to claim a win, we have a handful of potential targets under discussion or evaluation. As noted earlier, one of our goals for 2019 is to add 20 sites for our travel center network and I intend to see that is done. Another top focus area for me is maximizing the profitability of our existing sites through a marketing programs, new service offerings and attention to our customer service, training and cost control. A great example of a current initiative is the rollout of our new and improved driver loyalty program. As Andy mentioned, in January we introduced changes to our UltraONE rewards program, a volume-based incentive program with five usage tiers called GEARS that will let drivers earn up to four points per gallon every time they fuel. This program has structured similarly to other industry loyalty programs that were introduced subsequent to the last major overhaul of our program. But our new program is better and unique for two reasons. First, we allow drivers to earn points more quickly. With the new program drivers will earn UltraONE points based on fuel volume from the previous month rather than on volume from the last six months. Second, we’ve given drivers two ways to earn rewards and we’re giving them more flexibility in their reward redemptions. Under the improved program, minimum gallon fuel purchases will continue to earn members, their traditional shower credit. However, for those members at higher gear levels, instead of just a shower credit, their purchases will earn ultra credits, which will allow drivers to choose how they want to be rewarded with either a shower or restaurant meal or parking reservation. In January, we signed thousands of drivers into the UltraONE program who are either new members or who reactivated previous accounts. Although it’s very early into the new program we’re seeing positive desired changes in fueling behavior and our analysis of the data collected to-date gives us reason to expect a lift in diesel fuel volume in 2019. We also expect additional nonfuel revenues related to the incremental fuel sales and we’ll incur increased loyalty point cost that will lower our margin per gallon and our nonfuel margin percentage. And now, I'll hand the call over the Bill.
Bill Myers: Thank you, Barry, and good morning everyone. First, I’ll talk about the results for the fourth quarter including certain disclosure changes we’ve made that we think are helpful: I’ll then cover a couple of January 2019 items, the transaction we completed with HBT and the adoption of the new lease accounting standard. For the fourth quarter of 2018 from a consolidated perspective, we reported a net loss of $5.9 million or $0.15 per share and adjusted EBITDA of $20.7 million. This compares to a net loss of $20.7 million or $0.35 per share and adjusted EBITDA of $13.7 million for the fourth quarter of last year. As Andy stated earlier, we are pleased that we succeeded in approving our bottom-line results. As a reminder, we classified the convenience store business we sold in December as discontinued operations for all periods presented, therefore reported fourth quarter adjusted EBITDA amounts do not include any contribution from discontinued operations. For the 2018 fourth quarter, the fuel sales volume increased by 3.9 million gallons due to sales at new sites. On a same site basis fuel volumes decreased by 470,000 gallons or one-tenth of a percent primarily due to the continued effects of fuel efficiency gains and increase competition. While a decline from a year ago, we see this as a positive trend as we have closed the gap versus the prior year as we progressed through 2018. Fuel gross margin for the fourth quarter of 2018 increased by $17.6 million or 25.8% as compared to the 2017 fourth quarter primarily due to a much more favorable purchase environment in the 2018 fourth quarter as Barry described earlier, nonfuel revenues increased by $16.5 million or 3.9% in the 2018 fourth quarter as compared to the 2017 fourth quarter to the new site and a 2.7% increase on a same site basis. The increase in nonfuel revenues was led by store and retail services which drove approximately 56% of the increase and due primarily to an increase in Reserve-It parking revenue, DEF sales and gross revenue mostly for promotional and marketing initiatives. Truck service accounted for 27% of the increase largely due to growth in our OnSite mobile maintenance and RoadSquad programs. Nonfuel gross margin increased by $10.8 million or 4.2% in the 2018 fourth quarter as compared to the 2017 fourth quarter due to the higher level of nonfuel sales and a slight increase in the nonfuel gross margin percentage to 61% for the 2018 fourth quarter from 60.8% for the 2017 fourth quarter. Site level operating expenses increased by $17.6 million or 8.3% in the 2018 fourth quarter as compared to the 2017 fourth quarter primarily due to new sites and the cost to support the increase in nonfuel sales at same site. For same-site, site level operating expenses increased by $14.3 million or 6.8% in the 2018 fourth quarter as compared to the 2017 fourth quarter. Site level operating expenses as a percent of nonfuel revenues on the same-site basis was 51.6% for the 2018 fourth quarter as compared to 49.7% for the 2017 fourth quarter as Barry discussed earlier. We continue to see the expected savings from the site accounting function centralization project. This initiative generated savings in site level operating expenses of $1.1 million in the fourth quarter and $3.2 million for the year. By December 31 we had completed the staffing reductions at a 155 sites but at varying points during the year. We continue to expect this initiative to generate annual site level operating expense savings of approximately $8 million after it is fully implemented in the first quarter of 2019. As we said previously, this operating expense savings will be partially offset by increases in annual SG&A expense of approximately $1.5 million. For the 2018 fourth quarter and full year $500,000 and $1.4 million respectively of our SG&A expense resulted from this initiative. Turning to our liquidity and investment matters, at December 31st our cash balance was $314.4 million largely as a result of selling the convenience store business in December. But as I will talk about more detail in the moment, we use most of that cash in January to purchase 20 sites from HPT. We also had approximately $85.4 million available to us under our revolving credit facility at December 31. Taking into account the purchase of the 20 sites from HPT in January 2019, we currently own 52 travel centers, six standalone restaurants, one tire retrading facility and eight other land parcels that are unencumbered by debt. Finally for the 2018 year, we invested $144.8 million of capital expenditures and receive proceeds of $56.3 million from sales of site improvements to HPT. Our 2019 capital investment plan contemplates total spending of approximately $100 million as we attempt to focus on growth programs that require less capital. Regarding the presentation changes in our Form 10-K that will be filed later today, the SEC issued a final rule in 2018 that change the definition of a smaller reporting company and we now qualify. As a small reporting company we can scale down certain content contained in our Form 10-K and future form 10-Q filings. We believe this provides more concise reporting. In our continuing effort to make our disclosures more useful for those striving to understand your business and potentially model our company we are now disclosing our nonfuel revenues broken down by our three departments. Truck service, store and retail services which includes our store sales as well as revenue from other direct amenities such as parking, scale, showers and gaming among others and restaurants which include both our quick service and sitdown offerings restaurants in our call centers as well as our standalone restaurants. We hope this information is helpful to understand revenue contribution by department and year-over-year growth rates for each. As we previously announced and Andy mentioned earlier in January we purchased 20 travel centers from HPT and amended our leases with HPT with the following effects. Our cash balance was reduced by $308.2 million. Our annual minimum rent is reduced by $43.1 million which will be prorated this year because the acquisition closing dates were in the second half of January. The annual depreciation expense associated with the 20 properties we required will be approximately $18.2 million also prorated this year. The amount of deferred rent obligation to be paid to HPT was reduced from $150 million to $70.5 million and we agreed to pay that amount 16 equal quarterly installments beginning April 1, 2019. There will be no income statement impact associated with the quarterly payments. And beginning in the 2019 second quarter you will see the quarterly cash payments presented in the financing activities section of our statement of cash flows. The last item I’d like to discuss is our adoption of the new lease accounting standard. Beginning with our first quarter 2019 financial statements, we will report a lease liability that represents the future minimum lease payments that we are contracted to make. We also record a right-of-use assets to reflect our right to use the leased property. We estimate that upon adoption of the standard we will record a lease liability of approximately $1.9 billion, a right-of-use asset of $1.8 billion and an adjustment to accumulated deficit of approximately $86 million. After adoption, we will no longer be able to recognize the approximately $10 million per year rent reduction from the amount amortization of deferred gain from previous sale-leaseback transactions. The deferred gain balance at December 31 of approximately $111 million was credited to accumulated deficit upon adoption. That concludes our prepared remarks. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Steve Dyer with Craig-Hallum. Please go ahead.
Steve Dyer: Thanks. Good morning. Obviously, some nice tailwinds around fuel margin in this quarter. If you could share sort of what you’re seeing now that were almost two-thirds of the way here through the first quarter. Are they continuing or would you expect that to moderate?
Bill Myers: Steve, this is Bill. January was another good month for fuel and the purchasing environment continued pretty robustly, so that was good news for January. We’re starting to see it soften a bit in February.
Steve Dyer: Okay. With respect to the truck service business. I like how it’s broken out now certainly gives more granularity. Looks like it grew about 3% or so in Q4, but some of the commentary and recent hires and so forth would suggest you expect sort of additional growth from there. How do we think about that business throughout 2019 maybe the ramp of the growth?
Andy Rebholz: Yes. Steve, its unfortunately for us and therefore for you I think. It is hard to model or predict things like the weather can have a significant effect. That was actually one of the reasons why -- say that fourth quarter three-ish percent growth rate that you saw over the prior year was as low as it was. That was a fairly mild weather quarter which isn't good for the truck repair business. The truck repair business loves extremes in the weather, really hot summers and really cold and frigid winters. So there's a little bit of noise that you get from that. But you're right to sort of conclude that we are expecting – and I think we probably said this, but significant growth from the truck service business, and most specifically from this sort of off-site product offers that we have. The roadside assistance, the mobile maintenance, the commercial tires; not all from there, clearly as we go out and engage with more of these what we have referred to and soon we’ll need to stop referring to as nontraditional customers because they’re becoming our traditional customer. But these other folks like retailers and others who are not in the long-haul trucking business that we’re dealing, working with directly. There’s a huge amount of opportunity out there and we think that we’re going to see all year probably a little bit you'll probably hear from us this idea of sort of hiring ahead with the technicians and others in order to be able to garner that business. And it's unfortunate in a way that it's one of those that the additional revenues require additional human beings and additional trucks or other equipment to be able to do the business. But we don't have a percentage for you, but we are looking for significant growth.
Steve Dyer: And I guess, last question from me and I’ll jump back in the queue. The operating expense line, a ton of different sort of puts and takes this year going forward. I guess maybe they help us model it or think about it. Would you expect that line at – call it a $1.4 billion [ph] and change, $1.4 billion, $1.5 five. Would you expect that to be flat, up, down? How should we think about that in 2019 versus 2018? Thanks.
Bill Myers: I would say it flat.
Andy Rebholz: Well, I think that -- yes, go ahead.
Barry Richards: Yes. I mean, we manage that as a ratio. So, if it does indeed go up it's going to be because we've got more sales. And I have little doubt that we will achieve what we have in the past two years in terms of a percent of nonfuel sales, that expense.
Andy Rebholz: Which is around that 49%, 50%.
Barry Richards: Correct. Yes.
Steve Dyer: Got it. So that’s site level SG&A rent D&A sort of all in number. Are we -- just want to make we’re talking about the same thing?
Andy Rebholz: That just the site level operating expenses, that’s really the one that’s most directly variable, not entirely directly variable, but variable with the level of nonfuel sales. Again, if you’re going to increase truck service revenues you have to have the people turning the wrenches, those sorts of things. So that's what Barry was referring to. I think as SG&A should be much more of just a flat other than for inflation, other than with respect to and most of its thereby now -- the program or project that Bill talked about with the site accounting centralization. That’s lowering site level expenses and increasing SG&A as we centralized some things. Depreciation and amortization, other than for the effect from acquiring the 20 sites from HPT which we’re estimating is 18 million-ish dollars a year. Again that should be relatively flat and it’s going to be affected by CapEx that we incurred and as always some amount of probably things becoming fully depreciated. But – and the rent I think that there's liable to be some noise as a result of the adoption of the new lease accounting standard. Our estimates at the moment the work we've done tell us that other than with respect to the $10 million credit that's been going to rent expense from the amortization of net deferred gains that Bill talked about earlier other than for that 10 million and obviously the $43 million reduction in rents from HPT that the expense would be pretty similar to what it has been, because most of our rent has been just straight operating lease rent done on a straight-line basis over time and that's a lot of how this new standard works. You just maybe get there a different way. But so really the one that’s the wildcard if you will, is the site -- the line we call site level operating expenses that 907 million-ish number that just -- it's going to – I’d love to see that number go up a lot because it means our revenues have gone up a lot.
Steve Dyer: Got it. Okay. Thanks very much.
Operator: The next question comes from Bryan Maher with B. Riley FBR. Please go ahead.
Bryan Maher: Hi. I beg to differ, we'd like to see it go down a lot. I’m just – we want revenues to go up, but we’d love to see go down. If you different goal number. Is the goal 49? Is the goal 48 [ph]? What is the goal for that numbers, because it’s really the wildcard driving our model?
Andy Rebholz: Yes. The goal is 49 and change.
Bryan Maher: Okay. And Barry, you seem pretty emphatic about the 20 new sites for 2019. Can you give us a breakdown of how you see that playing out between franchises and acquisitions and maybe Andy, what are you seeing in the acquisition environment out there to bring on new properties?
Andy Rebholz: Yes. I think that, I mean, we've got – we’ve had a number of good – we’ve a number of good conversations maybe underway for some properties. Two of which would be acquiring vacant land that would then -- we would then be able to build. In both cases I think it would be a TA Express for that particular market which I find exciting because I really want us to build one of those new and show what it can do. And -- but I think that there are handful of other ones that we are kicking around some further along than others. We can't always come to price agreement with the sellers, but I think that we have a good opportunity to acquire maybe throughout the year, three to five travel centers just depend on then capital resources and things like that to make it happen. And then that some of those are a parcel of land on which we will build a site. We’ll probably still take credit and count them towards the 20 even though they won't open during the year potentially. But then you run into the process of dealing with the local, not so much zoning but permitting processes and things like that. So that's why we said, we think really that most of this year's growth should we hit that 20 will be more from the franchising aspect than the acquisition of building aspect. From the franchising perspective and we’ve talked about the agreements that we’ve signed which should result in four of those 20 sites this year. There as Barry said, there are another three to five that are really close, but have always been kind of behind this deal if you will. But hopefully soon we have some more signings to announce. And there are literally dozens of other independent operators who seem very interested and from our perspective seem like the kinds of travel centers to that we would be proud to have as part of our network and fit geographically and all those sorts of things. So, yes, the 20 is a goal that we have and Barry is the one responsible for making it happen as with all goals that he is given. He is like a bulldog on getting this done. Now, having said that, we’re not going to do anything stupid, we’re not to pay too much for a site. We’re not going to enter a franchise agreement with the site that really doesn't convey the right brand standards just to hit that goal, because we set out loud to the world. But what we can see right now, we think that that's achievable.
Bryan Maher: And when you talk about building a ground-up TA Express, I mean, I recall from a few years ago when you build several full blown TAs and I granted some of that were big. But I remember the cost of those kind of being in the 20 million range. What do you think the TA Express would cost to build?
Barry Richards: That shouldn’t be less than 15 million.
Bryan Maher: Thank you.
Andy Rebholz: Including and excluding land?
Barry Richards: Yes. I think with land and assuming that’s got at least the two bay truck repair facility on it, we should be able to do that for right around 15 million.
Bryan Maher: One last question, when you’re looking at acquisitions these days what kind of multiples or the sellers looking for their properties?
Andy Rebholz: I think that we’re probably – well, we’ve deal with – it’s different with land and that's been a lot of what we've looked at so far this year. But I am expecting that we’re going to be in that six to eight times their historical EBITDA kind of arrange probably I know, when we last, we’re talking about those kinds of things, we were talking about -- I think we were talking about truck stops in the -- maybe we said five to seven range and see stores in the six to eight or something like that, but it seems like it's tweaked up a little bit at least for the ones that that we been looking at which arguably are at the nicer end of the spectrum.
Bryan Maher: Thank you.
Andy Rebholz: Sure. Take care. Bye.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Andy Rebholz for any closing remarks.
Andy Rebholz: Thank you, Gary. Again I want to thank everybody for joining us today and for your continued interest in TA and here's to a successful 2019. Thanks.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.